Operator: Hello, and thank you for joining us in Garanti BBVA's 2024 Financial Results and 2025 Operating Plan Guidance Webcast. Our CEO, Mr. Mahmut Akten; our CFO, Mr. Aydin Guler; and our Investor Relations Director, Ms. Handan Saygin will be presenting today. [Operator Instructions] I now leave the floor to -- for presentation.
Handan Saygin: Good afternoon, everyone. It's an honor to be with you on our earnings call presenting another set of unmatched results. Despite the ongoing market complexities and tight regulations, we delivered further improvement in our net income. But before getting into the results, let's, as usual, quickly go over the macro backdrop we're in. Rebalancing in the Turkish economy continues with a gradual moderation in domestic demand. Economic growth in the first 3 quarters were 3.2%, and we also expect the 2024 growth to be 3.2%. With the continuing restrictive monetary policies and expected fiscal consolidation, we expect GDP growth to come down to 2.5% in 2025. Monthly inflation trend eased further in December to below 2.5%. We expect -- well, actually, in the year 2024, we finished the year with a CPI of 44.4%, and we forecast 25.5% CPI for year-end 2025. As for the policy rate, it was 47.5% at year-end. In January, there was a further 250 basis points cut, bringing the policy rate to 45%. We expect the easing cycle to continue with 250 bps cuts in March and April and smaller cuts thereafter, ending the year with 31%. As for the current account deficit on Slide 4, we expect the deficit to be only 0.7% of GDP in year 2024, driven by moderating domestic demand, normalization in gold imports, strong tourism revenues and improving core trade deficit. We forecast the current account deficit to be 1.5% in year 2025, taking into account some of the risks on external demand. On the budget deficit, the latest Medium Term Program suggests a clear fiscal consolidation in 2025 with savings in capital expenditures and transfers, suggesting further improvement in budget deficit to GDP. We expect the ratio to decline from 4.8% in 2024 to 3.5% in 2025, including the earthquake spending. Excluding the earthquake spending, budget deficit to GDP will remain within the master criteria. Now the financials for year 2024. Garanti BBVA ended the year 2024 with a clearly unmatched earnings performance. With the addition of TRY 25.2 billion of net income in the fourth quarter, annual net income reached TRY 92.2 billion, representing a clean 17% year-on-year earnings growth when adjusted with the last year's provision reversal. The level of earnings suggests we succeeded in delivering what we guided in the beginning of the year as well as delivering a significant outperformance. Return on average equity of 33% and return on average assets of 3.5% are the highest among peers, underscoring our dynamic balance sheet management, sustainable revenue streams, mainly our strong core banking revenues that you see on Slide 7. The core banking revenue growth registered even in a year of increasing interest rates, and regulatory pressures was an outstanding 62%. Our core banking revenue generation, as a percentage of assets, not only shows the highest level and the highest improvement, but compares very favorably to that of the peer average. Largest differentiation lies in the core net interest income performance, backed by our high weight of customer-driven asset mix, closely managed pricing and duration. As you can see in the asset breakdown on next page, performing loans share in assets is a high 58%, whereas securities share in assets is at its 2-year low and lowest among peers with 14%. Our fourth quarter Turkish lira lending growth of 11% brought 2024 Turkish lira loan growth to 52%, a level pointing to a high single-digit real loan growth for the year. This growth is achieved while sticking to the imposed loan growth caps and booking higher growth in the preferred areas, such as investments, export, credit cards and earthquake-affected area loans. In foreign currency lending, our annual growth ended to be 13% in dollar terms after no growth due to redemptions in the last quarter, similar to sector trends. On the securities front, we're typically opportunistic and grow for either hedging purpose or regulatory driven. In the fourth quarter, we did replace our redeeming Turkish lira securities and added to our long-term fixed rate portfolio. Accordingly, our annual growth in Turkish lira securities reached 42%. In the last quarter of the year, we sustained our market share gains in Turkish lira lending and, thus, solidified our leadership in Turkish lira loans with near 22% market share among private banks. Last quarter's gains were across-the-board with continued focus on expanding maturities. We finished the year with a TRY 1.1 trillion loan portfolio, driven by a 74% growth in credit cards, 55% growth in consumer loans and 35% growth in business loans. Our market share in consumer general purpose loans among private banks is near 20%. In consumer mortgages, we gained, in just 1 quarter, 130 basis points market share, and now our market share is near 28%. In credit cards, our market share gain in the quarter was 160 basis points, bringing our credit card market share to more than 24%. And in business banking, our market share exceeded 20% as of the year-end. As for the quality of the total loan book that you can see on Slide 10, of TRY 1.8 trillion of the total loan book, 11.4% is in Stage 2 and 2.1% is in Stage 3. The anticipated increase in Stage 2 relates predominantly to the increase in the SICR portion, namely small ticket size, the retail and credit card loans. Isolating the currency impact, the quarterly increase in Stage 2 was TRY 34 billion. Since the coverage for the SICR is relatively low, it did not pressure the Stage 2 provisions much, while the recovery of a few highly provisioned wholesale files in Stage 2 diluted the foreign currency coverage portion of Stage 2 from 38% to 30%. And we had a similar impact on the Turkish lira side that lead to coverage dilution to 6% from 8%. And regarding the NPL formation in the quarter, we can see on next slide. The net NPL inflow in the quarter was less than half of the prior quarters with TRY 3.2 billion, owing to strong collections, NPL sales and write-downs. Excluding the NPL sales and write-down, the net NPL inflow was TRY 8.8 billion, showing the deterioration we all expected after last year's robust retail growth. 85% of the new NPLs related to the retail book, half alone was from credit cards portfolio and NPL inflow from commercial side was quite muted. The ratio post NPL sale and write-downs stayed at 2.1%. If we had not done any NPL sale or write-down since 2019, our NPL ratio would have been 3.1%. During the year, we sold about TRY 10 million of NPLs for TRY 3.3 billion as they presented a good opportunity in this inflationary period with positive spread versus the legal process time cost. Our total provisions on balance sheet, including the written-down portion, is at TRY 78.6 billion. This is the highest provision level among the private banks and represents a 4.3% total cash coverage. On next slide, let's see how this translated into cost of risk. Net provisions, excluding currency and the earthquake-related provisions of last year, spiked almost threefold year-on-year. It actually could've been much higher if we had not had the big-ticket wholesale collections as well as the reclassification-related provision release of a loan hitting the last quarter of the year. The reclassified portion of the specific loan alone had a 15 bps positive impact on net cost of risk. Also during the year, the 2 sovereign rating upgrades received added to the positive impact versus budget. Accordingly, the cumulative net cost of risk at year-end recorded was 78 basis points, which is a level lower than our annual guidance of 125 basis points. On the funding side, customer deposits funds more than 70% of the assets, 71.8% to be exact. The high share of demand deposits funding assets, in spite of the high interest rate environment, remains to be the key financial differentiation supporting margin outperformance. Borrowing share in funding assets, despite our new Tier 2 and some MTN issuances in the last quarter, remains low at 7.3%. Total external debt as of the year-end was $5.5 billion. Of this, 1/3 relates to sub debt, another 1/3 relates to securitizations, 15% to syndications and 13% to MTN program. $1.8 billion of the external debt is due within a year, and against that, we have $3.5 billion buffer in foreign currency liquidity. The quarterly drop in foreign currency liquidity is due to higher reserve requirements and continuing dedollarization. Overall, our leverage remained low at 8.1x the equity. Conversion to standard TL deposits continued in line with the regulation targets given. We recorded another 6% growth in Turkish lira deposits, bringing the annual Turkish lira deposit growth to 36%. Turkish lira deposits now make up 57% of total deposits. On the foreign currency deposit side, dedollarization continued in the last quarter at an increased pace. Even though there seems to be an annual 4% growth in dollar terms, it relates to nonretail foreign currency deposit volume growth at our foreign subsidiaries, namely Garanti Bank International and Garanti Bank Romania. Even though we manage the most sizable Turkish lira deposit portfolio in high interest rate environment, we continue to lead in customer demand deposits share in total. On a bank-only comparative basis, demand deposit share in total is 40% at Garanti versus the average of private peers of 33%. Also, within the time deposits, we continue to have the highest share of foreign currency-protected deposits in TL time deposits with relatively lower funding costs. The significant funding advantage provided by these factors support our superior margin performance. Accordingly, on Slide 15, our margins remain the most resilient throughout the year despite the continuing tight stance in monetary policy and additional macro prudential measures. And we could book not only the highest core net interest income, but also the highest improvement in core net interest income of 41% year-on-year. As for the margins, the last quarter of the year -- in the last quarter of the year, we started seeing the reversal of the margin suppression. As you can see on the top right-hand side, the Turkish lira loan to Turkish lira time deposit spreads are of expansion trend with deposits repricing faster than launch. As a result, we could register 67 basis points quarter-on-quarter improvement in our core margin in the last quarter. Combined with the CPI adjustment impact, quarterly expansion was 71 basis points. On a cumulative basis, our margin ended to be 4.1%, suggesting a level 92 basis points lower year-on-year versus our flat margin guidance in the beginning of the year. The difference can be explained with the rules of the game changing midway in the year. The increased reserve requirements, net of remuneration alone, had 80 basis points of negative impact. So the level of our core net interest income and margin remains to be our legacy and will remain intact, owing to our customer-driven asset mix. Notice on Slide 16, what ensures the sustainability of our strong banking revenue generation can be explained with the leadership in Turkish lira loans and Turkish lira deposits. In our Turkish lira assets, the share of Turkish lira loans is 62% versus the securities share is only 16%. In a period where loan yields are -- were about 1.5x higher than securities and there are loan growth caps, this presents a significant and sustainable revenue advantage. And our assets, as I said before, are funded largely with customer deposits. Turkish lira time deposit share in Turkish lira liabilities is 66.6% and presents a funding cost benefit versus repos. In the meantime, we are, as always, actively managing not only our pricing, but also the duration gap. Nowadays, our Turkish lira balance sheet duration gap is around 4 to 5 months and increasing at the time of declining interest rates. As for net fees and commissions on Slide 17, there is 11% quarter-on-quarter and a robust 2.2-fold year-on-year growth, led largely by the Payment Systems business. Of the TRY 97 billion of net fees and commissions booked in year 2024, 2/3 still relate to the Payment Systems business, owing to our #1 rank in that business. Also, our #1 rank in Turkish lira cash flows, Turkish lira noncash loans, as well as money transfer fees, non-life and life insurance, were all supportive in our net fees and commissions growth. Key reasons behind our robust fee performance are the strength in relationship banking leading to significant cross-sell and increased customer penetration and digital empowerment. Our digital active customers now reached 16.7 million, and digital sales share in total is 89%. Moving to our operating expenses performance. As expected, we had an inevitable operating expense growth due to the accumulated high inflation impact. Quarterly growth was 23%, and annual operating expense growth was 84% when adjusted with the currency. This above-inflation growth can be explained with operating expenses relating to higher current and potential revenue generation. In the end, our efficiencies remain best-in-class, such that our cost-income ratio was 44% suggests the highest efficiency among peers in this period. Fees coverage of OpEx also suggests a very strong 91%. As per capital, consolidated capital adequacy ratio, without the BRSA's forbearance, went up to 18.2%, and core equity Tier 1 to 14.7%. Our capital generative growth strategy continue to support the solvency in the quarter as well as for the year. The foreign currency sensitivity on our capital adequacy ratio is a low 20.5% negative for every 10% depreciation, owing to our total of $1.25 billion of Tier 2 issuances in the year. In summary, what I can say with these outstanding and rather unmatched results is that we added to our strong track record of delivering what we promised, what we guide. Since I went over each line throughout my presentation, as how we fared versus budget guidance, I don't want to do a repetition and rather jumped into what our guidance is for year 2025. So let's jump to Slide 22 and start first with the assumed macro backdrop. In 2025, we project a lower GDP growth of 2.5%, year-end inflation to come down to 26.5%, policy rate to ease down to 31% and unemployment to rise to 10.5%. We expect: the Turkish lira lending growth that is above average CPI, and that is about more or less even across-the-board in terms of consumer, credit card and business lending and about even pace throughout the year, we can say; foreign currency loan growth that is in the low teens, we expect; net cost of risk to rise up to 2% to 2.5% levels in the absence of the heavy wholesale collections we had seen in 2024. Offsetting this, we expect a margin expansion of total 3% by year-end, a fee growth that can be sustained above average CPI, however, with a much normalized Payment Systems fee growth, of course, and, accordingly, a fee coverage of OpEx ratio normalizing to 80% to 85% levels. These all should suggest a return on average equity for the year that is in the low 30s. Please keep in mind that these expectations are built on the assumptions that the current regulations will remain intact, and no new regulations will be introduced. Any change in these may lead to an -- either an upside or a downside on the guidance. In conclusion, these are the messages we wanted to share with you. It's now time to take your questions. Thank you for listening.
Operator: [Operator Instructions]Our first question is coming from David Taranto.
David Taranto: I have 3 questions, please. Your Turkish lira loan growth guidance at above-average CPI levels probably indicates something close or above mid-30% levels. This is above the annualized level of the existing growth caps. So we appreciate there are flexibilities around these caps, considering these segments that are exempt from regulations. Could you please elaborate a bit on your growth expectations? What percentage of your loan book is exempt from the existing growth caps? On the retail side, it is easier for us to calculate, but it is a bit more challenging to calculate it for the business side. So any color would be appreciated. My second question is on NIM. Lower policy rates spill over on repo and swaps are technical. But my question is, what's your expectation for local currency deposits? Your year-end policy rate expectation is around 31%. So do you see average time deposit rates reaching close to that level by the end of the year? And my last question is again on NIM. Could you please elaborate a bit on the quarter the NIM dynamics? Given the direction of the rates, we would -- I mean, should we expect NIMs to peak in the last quarter of the year? Full year guidance is clear, but where do you see the exit NIM from this year? And sorry, one more quick question on cost. Your cost over fee guidance is based on solo numbers. Could you kindly share some color for the consolidated cost growth as well?
Mahmut Akten: Thanks, David. This is Mahmut. So thank you for detailed questions on 4 areas, and my colleagues will add up where I'm short. But first of all, as you said, we are expecting slightly above CPI growth by year-end, which is, as we mentioned, around 30% or so, given that our projections for year-end for CPI 26.5%. And I don't have the exact from top of my mind, but first of all, as you know, credit card, overdraft on certain segments are exempted from the limits. Therefore, we can easily grow beyond the approximately 2% limit on certain segments, like general purpose loan on consumer side,and on business loans as well. And recently, on SME side, Central Bank has released the pressure a bit for the growth to 2.5% anyway on the SME segment itself. On credit card, there is a higher growth anyway. So more than 50% of our bond book, actually probably close to 60% roughly, don't quote me on that, but -- is exempt from these limits. And certain products, as we have seen, like credit cards, grows more than any other product for different reasons. Number one is, in Turkey, the use of credit card has significantly picked up over the last 2 years. Just like many other countries, it evolves, to do transactions more through card than the effective cash partially because of the inflation, partially because of the less use of effectives and higher, how do you call, banknotes, no, on -- we have the highest bank note is TRY 200. So consumers switch to more credit card for day-to-day activity. And on a high interest rate environment, on top, our affluent customers prefer to do the transactions or any consumptions by credit card because paying cash is expensive. There is a carry cost. So roughly, the consumption percentage on credit card moved from 40s, low 40% to 60%. This has been a big shift. And some of them turns to be also -- 1/3 of it turns to be also interest-bearing receivables on credit card. When you add it up, in an inflationary environment, 26.5%, which is I think is reasonable assumption, plus/minus 2%, 3% for the year-end, slightly above 30% is reasonable and, in some cases, conservative. And we also expect, maybe toward the end of the year, these limitations will be less relevant. When the inflation comes down and there is significant deferral of investment in the business segment as well as interest rates, TL interest rate comes down, there'll be more investment and which means there needs to be requirement of loan. So overall, we feel very comfortable with above-average CPI loan book growth. I will say that. Number two, and please interrupt me at any time if this doesn't answer your question, you asked about NIM and local currency deposit and average. Now in one of the pages we have shown, policy rates and average funding cost is very relevant. It's very linked to each other in a very stable environment, and we might count this year a transition year. But for many months, we have the same policy rate. We had 4% difference between the policy rate approximately and time deposits. So if we assume low 30% interest rate at the end of the year, you might expect below that deposit rate. And throughout the year then, slightly about 30% deposit rate is probably meaningful, funding rate through deposit, and year-end should be low 30% based on our expectation for the moment. So -- and through transition like -- this is related to your third question as well in terms of NIM dynamics, from one month to another, from one meeting to another, when the policy rate comes down, we see immediate impact on, for sure, use of repo, right, and overnight deposit, especially used by commercial clients. But also on retail side, majority, more than 90% of our funding is 30 days. So it immediately adjust. And I can tell you this without getting into the specifics of the numbers. In January alone, we had made more improvement in NIM than the full quarter of Q4. So the speed of NIM adjustment is very high, and you might expect probably midyear, the highest NIM performance because credit comes down slowly, especially on the consumer side where there's a lot of installment on GPL and in auto and in other products. So in business side, maybe it is slightly faster, but we increased our duration over the last year. We almost doubled our duration in balance sheet. So you should expect slightly lower every month credit yield, but it's not going to come down as fast as deposit and overall funding. So we are expecting a NIM peak point in midyear and then correcting and coming to a more sustainable level, but for sure, significantly higher than today. In terms of cost, I'll ask also Aydin and others to help me solo versus...
Aydin Güler: Yes. It'll be 10 percentage lower than the bank-only figure, so should be around 70% to 75%. As Handan mentioned, 85%, right?
Handan Saygin: Yes, 80% to 85%.
Aydin Güler: 80% OpEx, probably it will be 10 percentage points lower than...
Mahmut Akten: Yes, cost goes up slightly above the inflation number because of the last 2, 3 years, especially personnel costs for our bank and for -- overall, for our vendors. In a high inflationary environment, there has been adjustments throughout the year at least twice, which reflects a rollover impact from 1 year to another. But -- and we also expect that to smooth out in the following years. As inflation comes down, it will be less likely to see price adjustments from vendors as well as salary adjustments. At least if it happens, it'll be slight adjustments. So the cost inflation will be less of an issue going forward as well. I don't know, David, it was...
Operator: We're taking the next question from Simon Nellis.
Simon Nellis: Yes. Just elaborating on the margins. So could you just repeat what you said? You're saying that, by midyear, you think the margin will peak. I didn't quite catch that. And just to clarify, the -- you're looking for margin to expand by 300 basis points, so from 3.7% reported last year to 6.7%. Is that right? That would be my first question. And then second, I'd be interested in -- if you could elaborate on the 2% to 2.5% risk cost. What are you worried about? What -- where do you see deterioration? And then maybe looking out beyond this year, do you expect that to normalize at a lower level? Or what's your expectation longer term? And then maybe just last, could you give us an update on regulation? We're hearing about potentially tax -- new taxes on deposits. How you expect that to impact customer behavior? When do you think these loan growth caps will be removed? When will you be able to get rid of all of the KKM deposits? Yes. Any -- and any other things that we might not be aware of on the regulatory front?
Mahmut Akten: Simon, first of all, let me clarify. When I was -- I had the question about the cost of funding. So when I transition to NIM, let's clarify. We expect the balance sheet NIM to improve every quarter, as you said, 300 bps above by year-end. But in terms of loan-to-deposit spread, we expect that it will be in third quarter will be peaked, but still, we will finish the year on balance sheet NIM higher than the third quarter. Like July or August, we expect our loan-to-deposit ratio spread will be the peak. So there'll be improvements quarter-over-quarter without much of an issue. Asset quality, when it comes to that, I think we'll start to see normalization already. We start to see a bit. There has been high growth, especially on credit card and [indiscernible] front. But in high interest environment, we start to see on the third quarter on the consumer side, there is a bit of deterioration but -- compared to the prior years. But if you go back to 2018, 2019 normal years, where interest rates and inflation link was different than the 2001 to -- 2021 to later years, where the interest rates were low, we start to see the normalization in asset quality and NPL. So this -- the ratios we have seen in September to December was more normal compared to 2019, 2020. As you remember, the prior years, we had -- with low interest rate, therefore, it paid itself, and there was no issue. But now the last 2, 3 months, we have seen also more of a flattish performance on rollovers or gross NPL in the consumer side as well. And as in January, as salaries increase, especially on the consumer side, it's more relevant, where we had a bit more challenging time. And when the interest rates are coming down, we will see further improvement from here. But below 1% cost of risk is abnormal for any market, I assume. And it has been -- in 2018, '19, it was more like 2-plus percent. So we are coming back to those levels, but I think we will have more positive upsides on those numbers. Therefore, it might be below that. But it's our current projection. So before 2026, I believe we will see further improvement in NPL flow. There were -- third question's about regulations in general. There are a few items you mentioned, I think. One is on taxes, on deposits that I picked, right? Yes.
Handan Saygin: Withholding tax.
Simon Nellis: Withholding tax, yes.
Mahmut Akten: If any changes happens, it's 10% to 15% on funds or deposit, I think it's not -- it will not have much of an impact. I mean just because we have such a high real interest rate still, if you look forward, the inflation expectations, 10% or 15% tax will not change the customer behavior whatsoever. Still, money market funds or TL time deposit is very attractive from the customer standpoint, is significantly above inflation, therefore, limiting the consumption and still supporting the time deposit and overall savings. So on [Foreign Language] deposits, the linked deposit to FX, we see a significant reduction in the volume in the balance in the sector as well as ours. And we do expect, at some point, Central Bank is gradually changing the regulation, which is -- I think we had a good thing. Sudden changes always creates a bit of volatility. Although in Turkey, we are always used to the volatility and ready [ just ] to take actions. And as you have seen, we have grown our time deposit in TL substantially in the fourth quarter and reduce our repo funding significantly. So from our perspective, there is no issue. From customer behavior perspective, doing this over time is no problem. For the banking sector -- or from the customer perspective, we are giving the option. It's really high time deposit rates for the customer if -- whenever they want to switch to Turkish lira or they want to switch back to FX and close their account. So I would expect maybe later during the year, [Foreign Language] will be ending. It will not find the end of the year, I suppose. On the removal of the limits on credit. Although as a banker, I love to have no limits, it has very high correlation with the inflation. So it makes a lot of sense to have certain limits on certain segments, and they release some of the pressure on SME, has increased the limit from 1.5% to 2.5%. So it helps on the SME side. But I do expect throughout the year, very likely, these limits with slight changes will stay there, and we'll be able to still continue to grow on inflation level or above inflation, as we talked about. But from regulation standpoint, I think the last 6 months has been relatively non eventful with few changes along the way, but it was manageable. And as you look at it every month or every other month, there were a few changes. But as opposed to the past, this is very manageable and easy, right, I think.
Aydin Güler: Yes.
Mahmut Akten: Did I miss anything on the...
Simon Nellis: No, you hit everything.
Operator: Our next question is coming from Mehmet Sevim.
Mehmet Sevim: I just had one more question on NIM, if I may. Mahmut, you obviously mentioned quite a lot about the trajectory from here. I just wanted to understand, given this is such a substantial improvement in NIM that you're guiding, particularly considering your best-in-class starting level among the peers, if you could help us understand the trajectory better. Would you be able to guide where you see the peak NIM and where you see the exit rate at the end of 2025, if possible? And related to this, what do you think are the biggest risks to your NIM outlook, especially the -- on the regulatory front? Maybe connected to the previous question. Given, obviously, last year, there were many surprises, especially on the reserve requirement front, et cetera, could there be anything that is not baked in that could derail this trajectory?
Mahmut Akten: I mean this is a transition year where we are expecting our NIM to go up significantly because of the loan deposit dynamics and overall balance sheet dynamics. But in a sustainable time, we would expect 4% to 4.5% NIM. Right, Aydin? It's more when you look at long-term.
Aydin Güler: More normalized ways of 4% to...
Mahmut Akten: 4% to 4.5%. But along the year, we expect NIM expansion because of our duration increase. But over time, it will adjust itself to back to the normal level.
Aydin Güler: The fourth quarter will be the [indiscernible].
Mahmut Akten: [indiscernible] But after that, it will be normalize a bit as we increase our durations significantly. But at some point, credit prices will adjust -- or credit yields of the balance sheet will adjust itself. In terms of risk along the way, I think, overall, when we look at it, any adjustment recently that has been done as well on whether it's reserve requirements or other fronts, there has been always pluses and minuses, especially, for instance, if you think about the last adjustments on KKM, for new KKM, 0 numeration, for instance. But then, there has been adjustments on FX and TL standard time deposit reserves. Since reserves has been a bigger portion of our balance sheet versus past, there's a higher sensitivity to these type of topics. But at the same time, Central Bank  sees that sensitivity for all the banks. And I think it's a balanced adjustments when they do regulational change , so I see less of a risk. But if there will be any changes, we are -- we continue to expand our customer base, build our deposit base and number of our customers, both on credit card and overall. Our customers' numbers came to -- came up to now almost 17 million mobile customer and 27 million total customer, which is significant. We are -- we prepare ourselves for any scenario of [ whatever ], and we continue to perform better than the peers. And that's our, pretty much, benchmark. So in the long run, I think everything corrects itself. But overall, for the last 6 months or more, we see that any regulation or regulatory changes are sensitive to the dynamics of the sector. Therefore, we didn't see any big impact on our results. And as you see throughout the year, we had a consistent profitability, very much balanced quarter-over-quarter, and we see more upside, to be honest, going forward, than the downside. There's always geopolitics. There's always other things. But as you see from the bond market,as well, the securities that happens to be significantly less-yielding instruments on our balance sheet will be better positions going forward as well, even the last 3, 4 weeks. You see that 2 years, 5 years, 10 years, came down 200 bps to 500 bps. We all have -- all the banks have significant fixed assets as well. So there's also positive as well to balance any potential negatives as I see. And from customer standpoint as well, we don't see significant flow in asset deterioration from SMEs. Commercial and corporates have strong balance sheets anyway, and there were a lot of deferred investments. So if inflation comes down on time, as we project it, then there's no reason to believe otherwise. I think, overall, this will be one of the very good year transition to 2026, I believe.
Operator: It seems like we don't have any more questions. So this concludes the Q&A session. I now leave the floor to our presenters for closing remarks.
Mahmut Akten: Thank you all for your participation after -- in completing 2024 results call. I'd like to highlight again, as Garanti BBVA, we have a very solid commitment to our customers for long-term, capital-generative, sustainable profitability. And despite a relatively challenging year in which we all transition to a better year at the end, we successfully maintained our leadership position, as you see from the presentation, pretty much in every product. We gained market share, increase our customer base and, in a very diversified way, in all the segments. We believe that we are ready for 2025 to perform even in a better year, even better performance relative to our peers as well. So we are comfortable going into next year. And looking ahead, as I said, we'll continue to prioritize customer focus and agile business model, and we'll continue to deliver value for our -- for all of our stakeholders. And thanks, again, for listening to us and sharing your thoughts and questions. Have a great evening.